Operator: Good day, and thank you for standing by. Welcome to the Second Quarter 2024 Valley National Bancorp Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is recorded. I would now like to turn the conference over to your speaker for today, Travis Lan. Please go ahead.
Travis Lan: Good morning, and welcome to Valley's second quarter 2024 earnings conference call. Presenting on behalf of Valley today are CEO, Ira Robbins; President, Tom Iadanza; and Chief Financial Officer, Mike Hagedorn. Before we begin, I would like to make everyone aware that our quarterly earnings release and supporting documents can be found on our company website at valley.com. When discussing our results, we refer to non-GAAP measures which exclude certain items from reported results. Please refer to today's earnings release for reconciliations of these non-GAAP measures. Additionally, I would like to highlight Slide 2 of our earnings presentation and remind you that comments made during this call may contain forward-looking statements relating to Valley National Bancorp and the banking industry. Valley encourages all participants to refer to our SEC filings, including those found on Forms 8-K, 10-Q and 10-K for a complete discussion of forward-looking statements and the factors that could cause actual results to differ from those statements. With that, I’ll turn the call over to Ira Robbins.
Ira Robbins: Thank you, Travis. During the second quarter of 2024, Valley reported net income of $70 million and diluted earnings per share of $0.13. The sequential reduction in net income was the result of stable pre-tax pre-provision net revenue supported by the positive inflection in net interest income and the elevated loan loss provision. While this provision is outside our normal range, we believe that this quarter will represent the relative peak in our provisioning. Last quarter, I outlined the planned acceleration of our strategic initiatives aimed at normalizing certain balance sheet metrics, which are outliers to peers. I am extremely pleased with the significant progress that we have quickly made relative to each of our stated balance sheet goals. Importantly, we have begun to execute on these initiatives without diminishing our future earnings capacity. In fact, we believe that the further strengthening of our balance sheet will drive stability in our performance and relative value in the market. Our progress is illustrated in detail on Slide 4. By the end of the second quarter, both our CRE concentration and allowance coverage ratios have already reached the year end expectations that we laid out just three months ago. By limiting our investor CRE and multi rate origination and re-classifying certain healthcare loans to the owner occupied bucket. We were able to reduce our commercial real estate concentration ratio to our full year 2024 target of around 440%. With the backdrop of strong credit performance and stable past due and non-accrual loan metrics during the quarter, our reserve coverage expanded to our near-term targeted level of above 1%. We now anticipate reaching our intermediate term expectation of around 1.10% by the end of 2024. To be clear, there is no change to our belief that a coverage ratio of about 1.10% is appropriate for our risk profile, given our analysis of the portfolio and current backdrop. This quarter's elevated provision in the context of strong credit performance was the result of our conservative decision to place less value on personal guarantees as a mitigating factor in our internal loan risk ratings. This shift drove additional loan downgrades into our criticized and classified buckets, which each carry higher reserve requirements under our methodology. Our criticized and classified loans continue to perform and remain current with regards to payment activity. While this conservative approach to personal guarantees is reasonable given the current market environment, we continue to believe personal guarantees are useful in influencing borrower behavior and in cases of stress. These guarantees have proven very useful in limiting charge offs and enhancing recoveries throughout our history. For this reason, we anticipate that in practice, personal guarantees will continue to be valuable in minimizing the loss content of our portfolio going forward. Turning to capital, our risk based ratios improved meaningfully during the quarter despite strong non-CRE balance sheet growth and only modest retained earnings. This growth was primarily the result of a synthetic risk transfer, which we executed during the quarter. This transaction reduced the risk weighted assets associated with our indirect auto loan business by approximately $1 billion. We remain very comfortable with our regulatory capital levels and the significant expansion that we have generated on both a quarter-over-quarter and year-over-year basis. Slide 6, lays out our expectations for the remainder of 2024. We anticipate low single-digit annualized loan growth for the rest of the year. Consistent with this quarter's strong results, future loan growth will likely be tilted towards C&I and owner-occupied CRE as new investor CRE originations remain well controlled. We anticipate that this growth and the continued repricing of existing assets will support up to 3% growth in net interest income on a quarterly basis for the rest of the year. Non-interest income should recover from current levels as capital markets activity picks up and we continue to expand our treasury management capabilities. Non-interest expense remains well controlled, though we will see a full quarter's impact to the premium expense associated with our risk trade in the third and fourth quarters. Our tax rate is likely to come in between 25% and 26% for the rest of the year. From a credit perspective, net charge-offs are likely to remain around current levels for the rest of the year. However, I will reiterate that we are confident our provision has peaked and that a level between the first and second quarter's provision is a more reasonable quarterly expectation for the remainder of the year. These expectations combined with our loan growth outlook imply we will end the year with an ACL to loan ratio of around 1.10%. Before turning the call over to Tom, I wanted to highlight the underlying franchise value that we continue to create at Valley. Since the end of 2017, we have grown reportable tangible book value by 47% versus 36% for our regional banking peers. Including the impact of distributed dividends, this increases to 93% growth versus 70%, respectively. This variance reflects our ability to enhance our franchise value without meaningfully diluting tangible book value in overpriced acquisitions or through other aspects to maximize near-term results. Customer account growth is another key metric that gauges our ability to build and optimize our franchise value. Commercial deposit account growth remained strong during the quarter and our stable deposit levels on a quarterly average balance indicates significant stability despite some late quarter movement that temporarily impacted spot balances at the end of the quarter. Average balances in July have rebounded, which further underpins our confidence that net interest income growth will continue. We also believe that there is significant value in the geographic diversity that we have developed on both the asset and liability side of the balance sheet. At the end of 2017, nearly 80% of our commercial loans were concentrated in New York and New Jersey. That figure has declined to 50% today as a result of our focus in Florida and other dynamic commercial markets. We continue to develop exceptional service-oriented banking teams across the country, which are focused on generating and enhancing valuable commercial relationships that we have targeted. Meanwhile, at the end of 2017, 78% of our deposits were in northeast branches. As of the end of the second quarter that number has declined to just 43%. We have diverse funding niche businesses and a robust branch network across Florida and Alabama. This diversity helps to insulate our funding base and provides unique and differentiated opportunities to reduce our reliance on wholesale funding over time. In conclusion, I'm extremely pleased with the progress that we have already made towards achieving our stated balance sheet goals. We continue to work hard to further position ourselves for growth and high performance as the environment normalizes. I am confident that given what we know our provision has already peaked. With continued net interest income momentum, denormalization and expense control, we expect that our earnings will expand throughout the rest of the year and set us up for continued improvement in 2025. With that, I will turn the call over to Tom and Mike to discuss the quarter's growth and financial results. After Mike concludes his remarks, Tom, Mike, myself and Mark Sagaer, our Chief Credit Officer will be available for your questions.
Tom Iadanza: Thank you, Ira. Slide 9 illustrates the quarter's deposit trends. Total deposits increased $1 billion compared to the first quarter largely due to higher levels of indirect deposits. Meanwhile, customer balances including on the non-interest bearing side were generally stable throughout the quarter. This stability enabled us to largely hold the line for the third consecutive quarter from a pricing perspective. The next slide provides more detail on the composition of our deposit portfolio by delivery channel and business line. Growth trends in our specialty commercial verticals and private banking business were strong during the quarter and partially mitigated late quarter runoff in branch deposits. Average deposit balances in July are running higher than second quarter levels as customer activity has rebounded from a brief quarter end dip. While we do not typically reference deposit team additions as they occur, we recently received approval to open a new branch office in Beverly Hills, California. This location will be overseen by experienced in market leadership and will supplement the delivery of our financial products and services to our existing customer base. We are also planning a new branch opening in Staten Island, which is contiguous to our existing Metro New York footprint. We have over 2,000 customers in this market already and are extremely excited about the market leadership that we have attracted to accelerate our business development efforts. Both initiatives will enhance our name recognition in our markets and are expected to contribute to future deposit growth. In addition to growing deposits through our specialty commercial vertical, which I previously mentioned, we believe selective branch expansion supported by experienced end market leaders is an attractive option to grow core deposits at a reasonable all in cost and we anticipate a few additional opportunities to come to provision. Slide 11 illustrates the drivers of loan growth during the quarter. Total loans increased almost $400 million driven by roughly 16% annualized C&I growth. Our focus on C&I has been a strategic imperative, as we work to further diversify our balance sheet. This quarter's growth came across multiple business lines and geographies. And while future growth may be lumpy, there are significant opportunities for longer term growth in this asset class. On the commercial real estate side, we saw a meaningful shift from investor real estate to owner occupied real estate during the quarter. While the majority of this transition was the result of the reclassification of approximately $1 billion of healthcare loans we continue to benefit from this strategic de-emphasis of investor real estate originations. This focus will continue to result in lower real estate concentration going forward. Slide 12 provides additional detail on the composition of our commercial real estate portfolio by property type and geography. In general, the commercial real estate markets and borrower performance across our footprint remain healthy. With that, I will turn the call over to Mike Hagedorn to provide additional insight into the quarter's financials.
Mike Hagedorn: Thank you, Tom. Staying on the CRE topic for a moment. Slide 15, illustrates the contractual maturities of our commercial real estate portfolio. We have included the LTV, DSCR and rate by maturity bucket for your benefit. This maturity schedule illustrates the minimal near-term repricing risk that exists in our portfolio. Slide 16, highlights the significant positive inflection in both net interest income and net interest margin this quarter. This strong performance was the result of both interest income growth and interest expense reductions relative to the first quarter of the year. We forecast continued net interest income growth as a result of modest balance sheet growth and the ongoing tailwind associated with asset yield expansion. On the funding side, we have benefited from targeted deposit cost reductions that were implemented over the last few quarters. Average non-interest deposits increased modestly during the quarter and despite a brief dip at the quarter end, we are seeing additional growth in average non-interest balances already in the third quarter. Turning to the next slide, you can see that non-interest income on an adjusted basis declined compared to the first quarter of 2024. Roughly 75% of the net decline in fee income was related to the anticipated normalization of tax credit advisory revenues from the first quarter's elevated level. Beyond this, we were impacted by a negative valuation adjustment on certain Fintech investments, which was partially offset by stronger swap fees, insurance commissions and bank owned life insurance income. We continue to drive growth in our capital markets, wealth management and treasury services channels. These factors are likely to drive the anticipated growth in fee income for the rest of the year. On the following slide, you can see that our non-interest expenses were approximately $278 million for the quarter. Adjusting for our $1.4 million FDIC special assessment and certain other non-core charges, non-interest expenses were approximately $270 million on an adjusted basis. This represents a very modest increase from both the first quarter of 2024 and the second quarter of 2023. This was primarily the result of costs related to the credit risk transfer that we executed and higher traditional FDIC assessment expense. We continue to focus on headcount optimization and technology efficiencies to combat the revenue pressure that has occurred. As a reminder, our non-interest expense for the rest of the year will include roughly $6 million of premium costs related to our risk transfer transaction. On Slide 19, you can see the continued and notable stability in our non-accrual and pass-through loan categories. Despite the impact of higher rates and isolated stress in the office segment, our borrowers continue to generally perform well. At the bottom left, you can see the lower historical loss content of our portfolio, which plays out consistently across cycles. We remain confident in our reserve coverage relative to our loss content, as illustrated in the charts on the bottom right. The next slide illustrates the trend in allowance coverage, charge offs and provisions. Our allowance coverage ratio continues to expand towards the intermediate term target and you heard Ira describe the drivers of this expansion during the second quarter. To reiterate, we expect that the allowance to loan loss ratio will reach a level of around 1.10% based on current market dynamics and our knowledge of the portfolio. This expectation implies that our provision has peaked and will likely trend lower over the next few quarters. The overwhelming majority of our loan portfolio continues to perform extremely well. Roughly 85% of the quarter's net charge offs were the result of a single commercial real estate and single C&I credit. The C&I credit was largely covered by pre-existing specific reserve. As Ira indicated, given the current market environment, we do anticipate that net charge offs will remain close to current levels for the remainder of the year. The next slide illustrates the sequential increase in our tangible book value and capital ratios. The quarter's elevated provision and modest expansion headwind from the OCI impact associated with our available for sale securities portfolio weighed on tangible book value growth for the quarter. That said, we are extremely pleased with the significant growth in our risk based capital ratios relative to both the prior quarter and the year ago period. We are very proud of our ability to strengthen our balance sheet and enhance financial flexibility in shareholder friendly ways. With that, I'll turn the call back to the operator to begin Q&A. Thank you.
Operator: [Operator Instructions] And our first question for today comes from Frank Schiraldi of Piper Sandler.
Frank Schiraldi: Just wanted to ask, Ira, you mentioned the 1:10 reserve to loan ratio and essentially, I guess, you're just getting there early here. But in terms of a continued mix shift towards C&I, I would think that would still tend to put additional pressure on that ratio. So sounds like you're pretty comfortable with the 1:10, but just kind of curious if you can walk through the thinking there. Is the idea that criticized and classified begin to moderate here as an offset? Just curious your thoughts.
Mark Sagaer: Hey Frank. This is Mark Sagaer. I think on the criticized classified front, if you see our migration this quarter was lower than prior quarter and very much associated with what Ira mentioned deemphasizing a personal guarantee in our decisioning on internal risk rating. I want to make it clear though we think that loans with a guarantee will ultimately have materially better outcomes for the organization and they continue to be very important in our really relationship based model within the organization. To your point about C&I, you're correct in the sense that C&I does traditionally carry a higher level of provisioning than CRE and that's going to be a portion of the build. However, in the environment that we're in right now with continued higher interest rates, there is likely to be continued modest migration in our CRE portfolio into criticized categories.
Frank Schiraldi: But just so you're still comfortable even in that -- with that makes shift towards C&I in the reserve to loan ratio at about 1:10. You don't see a need for that to move higher in the near-term?
Mark Sagaer: No. The 1:10 is a continuation of our build and we're comfortable with that level.
Frank Schiraldi: And then just as a follow-up, you obviously worked around CRE in part through this reclassification. And I imagine that's something you guys have been more active on pursuing. Just curious if there's continued efforts here that could potentially drive more to come. And any updated thoughts about now that you're at kind of your year-end level, I guess for concentrations on CRE, your target, any updated thoughts on where you could be by the end of or what you're targeting by the end of 2025 in terms of concentration?
Ira Robbins: Yes, I think we were pretty specific last quarter, sort of where we thought from an intermediate basis and getting below 400 was pretty important to us. Obviously, accelerating it, if possible, is something that we're looking at doing. But keeping in mind, we want to make sure we keep in mind the earnings profile of the organization and as we look to different alternatives, making sure that they're in a shareholder friendly manner and we're not denigrating a future earnings profile. So it really is a balance for us as we continue to move forward. We're really excited about the ability to accelerate some of those initiatives, but we have to keep in mind some of the economics associated with different alternatives as well.
Frank Schiraldi: And then just on the reclassification is that -- was that like a specific sort of project to move that along? Is that largely completed or could we see another bucket of that next quarter?
Mark Sagaer: That was a specific project that we put together specifically related to skilled nursing segment of the portfolio and that was essentially completed in the second quarter.
Operator: One moment for the next question. And our next question will be coming from Steven Alexopoulos of JPMorgan.
Steven Alexopoulos: I want to start, Ira, on the net interest income outlook, the 1.5% to 3%. I assume that's unannualized growth but I want to confirm that. And then I want to ask if we get two rate cuts where you think you end up in the range?
Travis Lan: Yes. Steven, this is Travis. So you're correct, that is unannualized growth that we're showing on a quarterly basis going forward. Our forward guidance assumes two rate cuts consistent with what the implied curve was at 6.30. So that's factored in there. And then I think within that range you could also static rates are captured in that range as well as there's just not much impact or change to our NII guidance depending on the amount of rate cuts here in the near term.
Steven Alexopoulos: And then on Slide 15, the commercial real estate, that slide is very helpful. The $1.1 billion of commercial real estate that matured and was retained. Did you guys, can you walk us through? Did you need to make concessions there? Did these move into an extension period or were these full refinance where the borrower put in more equity and these are new commercial real estate loans?
Mark Sagaer: So on the retained side, all of those loans were repriced at current market rates and sized appropriately to our standards. You'll note we have the modified other of $2 million. That really represents a modified structure, historic TDR type relationship. The $1 million one was all at market terms.
Frank Schiraldi: Because I guess we're hearing some borrowers are just looking for a one-year extension, if you will, not necessarily refinancing the loan. Were any of these that nature?
Mark Sagaer: Yes, Stephen. Absolutely, the duration of some of these transactions were shorter than five-year renewals. However, all of them were done again at current market rates and with normalized amortization.
Frank Schiraldi: So, they would need to put full equity and to get that extension basically?
Mark Sager: Sometimes, yes, sometimes, no. Yes, depending on where the loan stands at maturity.
Ira Robbins: So the equity level would have needed to be normal, but obviously based on the original loan to value, many of the borrowers didn't even need to put in equity.
Frank Schiraldi: And then final for me on the RWA benefit and the strategy on the auto loans this quarter. Are you guys looking at other use of synthetic instruments? Should we expect more of this in the second half or is it done?
Travis Lan: Yes. Stephen, this is Travis. Look, I mean, we always kind of analyze what's out there and available. I mean, I think you see more of these risk transfers being done in the industry. It's not unique to Valley necessarily. I think the auto portfolio was the low hanging fruit to be honest, but we continue to analyze other opportunities in other asset classes as well. So I think, again, not just for Valley but for the rest of the industry, you'll see these being used to generate capital efficiency on a go forward basis.
Operator: And the next question will be coming from Matthew Breese of Stephens.
Matthew Breese: Ira, I think you hinted at this, but I was hoping to get your thoughts on either selling commercial real estate loans or securitizing loans to accelerate and lower that CRE concentration. How likely is that type of outcome? And if you do end up going that route, what would you be willing to tell us in terms of earnings or tangible book value impacts that you'd be willing to absorb to achieve those goals faster?
Ira Robbins: I think you highlighted the appropriate guardrails, Matt, right. I think we've done a good job for a long period of time prioritizing growth in tangible book value and denigrating that tangible book value is something that's important to us and really what that threshold is. And once again, maintaining an earnings profile that's really set to continue to grow based on where we're seeing the balance sheet as well as the net interest margin becomes important to us. So, it is a toggle as to how we think about the acceleration. That said, we do think there continue to be a lot of opportunities as to how we can reposition the balance sheet a little bit quicker. We're not denigrating what that earnings profile is. So there are opportunities and we continue to weigh them and we will execute on them when we think it makes good sense, not just from a balance sheet mix perspective, but also from an earnings profile perspective.
Matthew Breese: And I know you all over that past handful of quarters have taken a much more hands on approach to deposit cost. They were only up 2 basis points quarter-to-quarter. Can we see deposit cost fall next quarter and have interest bearing liabilities peaked for the cycle?
Mike Hagedorn: Yes. It's a good question. And I think our results for the quarter kind of speak to themselves and were strong. When you look at total deposits increased $1billion and you look at the cost makeup of those deposits, total deposit costs as we mentioned earlier were only up 2 basis points. But in that category of total deposits, brokered costs were flat at $505 for both quarters and customer costs actually declined 1 basis point. And when you look at inside of that customer portion of it, we raised $1.3 billion of customer deposits at a cost of 3.24. So I think it kind of speaks for itself that the cost reductions that we did, along with our ability to generate from our various sources that we built over the years was very strong. And you see that in the numbers this quarter.
Matthew Breese: And then you're not the only bank that is deemphasizing commercial real estate and working towards more C&I loan growth. Are you seeing any deterioration in underwriting of commercial loans? Are you seeing some loan covenants being given away or tighter spreads? I'd love some commentary on that.
TomIadanza: Hi, Matt, it's Tom. Now, our underwriting and our C&I portfolio on the originations. I bet it's similar terms and credit metrics that we've underwritten to in the past. We've always said we're not going to sacrifice credit quality for quick growth. And we've been growing C&I for the last six-years at around 10% annualized and this quarter it's a 16% annualized. And it's coming primarily from our specialty niches where we have experience and a reputation in the market as well as in our Florida region, which is still experiencing solid growth.
Matthew Breese: Last one for me. You have, I think, $115 million of sub debt reaching its reset date next year. Any plans there paid off or should we expect some sort of pre-emptive raise to get ahead of it?
TomIadanza: And that we always monitor debt capital markets. I mean, I think we've kind of issued sub debt every 18 months. Obviously, with some of the dynamics in the industry last year, right? That the sub debt market and debt capital markets in general have been a little bit slower, seeing some strengthening today. But I think on a regular basis, sub debt will be kind of a part of the capital stack. And we're always monitoring shareholder friendly ways to enhance the balance sheet so.
Operator: The next question will be coming from Manan Gosalia of Morgan Stanley.
Manan Gosalia: I wanted to follow-up on the reserve question. Could you talk about what drove the decision to accelerate the reserve building this quarter? And specifically, what does that mean for 2025? Are there any specific reserves embedded in that that could drive a reserve bleed next year if charge offs came through? Or do you expect to stay in that 1.1% range for the foreseeable future?
Mark Sagaer: So we there are some specific reserves in there, but we foresee staying within the 1.1 ratio on a go forward and we're very comfortable at that level, Manan.
Manan Gosalia: And then in terms of the charge offs this quarter, if you could speak to the couple of credits are there any -- is there any read across to the rest of the portfolio? And as I look at the forward NCO guide, I think it's the midpoint of that range is pretty much in line with the second quarter. It's a little bit higher than the prior quarter. So I just wanted to check if, that comes from planned actions to reduced concentration? Is there anything you're seeing in the portfolio or is it just conservatism?
Mark Sagaer: So, as in the remarks by Ira, again, two credits really drove the level of charge offs that we see this quarter. One of them on the CRE side was an office building. I point to the granularity that we have in our office portfolio with a 3.3% average loan. This loan was a larger CRE loan, just north of $30 million. I would note that in addition to the granularity, we have a very small number of larger loans. We only have six office loans that are over $50 million. One of them is our headquarters. And of those six, we just have one is classified. So we continue to monitor the office portfolio on a regular basis, updating metrics on all of our office loans north of $10 million and the migration in the portfolio throughout this year has been disproportionate to office, although in the second quarter that has moderated in the office portfolio.
Manan Gosalia : And in terms of the forward NCOs does that -- does a slightly higher level on NCOs come from reduced concentration or reducing consideration of the CRE book? Or is it just some conservatism embedded in there?
Mark Sagaer: It is more refocused on what we're looking at potential charge-offs. Customers that are on our radar that have potential for rollover risk in the future, which could deteriorate debt service coverage on a go-forward basis. So we continue to keep those on our radar and note that they may or may not lead to future charge-offs down the road.
Operator: Our next question will be coming from Steve McGrady of the -- I'm sorry, KBW.
Steve McGrady : A lot of discussion from some of your competitors this quarter and last quarter, just about portfolio reviews in terms of provisioning and reserve build outlook. I'm interested in kind of what you've done, not only this quarter but in the last couple of quarters to give a deeper look into some of the CRE book to get to that peak provision comment.
Mark Sagaer: So if you recall from our first quarter call, we looked at the vast majority of the portfolio through the end of the first quarter with updated information on all those customers. The migration this quarter again, as mentioned, was related to our view of the benefit of a personal guarantee within risk rating and really deemphasizing that on a go-forward basis. So our review was proactive and mostly completed in the first quarter, and we've essentially gone through the vast majority of our exposure to date.
Ira Robbins : I think one of the things that I would add to it is this isn't just internally value looking at it. We've engaged with third parties to come in and assess the portfolio as well, just to make sure that our view is aligned with the outside view as well.
Steve McGrady : And then just a follow-up. Could you provide the criticized classified linked quarter and also this quarter, I don't have my thoughts in the deck.
Travis Lan : Yes. It will come out in the Q. We had a migration of around $350 million this quarter, which is down from $600 million in the prior quarter and more details on that will be in the Q.
Operator: And our next question will be coming from Steve Moss of Raymond Jane.
Stephen Moss : Starting on the liquidity build here. You guys added broker deposits and investment securities. Kind of curious how much higher do you expect to take the investment securities portfolio and maybe continue to add broker deposits?
Travis Lan : I think in general, there will be a growth tailwind on the securities portfolio, but this quarter was certainly more outsized than what you've seen. Look, I think part of the reason for that is we have this additional cost associated with the risk transfer trade. So a small, modest leverage strategy to help offset the cost there was on our mind. It's done in a capital-efficient way. We're buying Ginnie Mae securities with zero-risk weight. So that's kind of important to what we're doing here. So I think over time, it migrates higher, but I don't think there will be any rash actions candidly on the securities portfolio.
Stephen Moss : And then on -- going back to the total capital here, you guys are 12.2% as of quarter end. Just curious, do you have any short or intermediate-term targets as to where you want that to go?
Ira Robbins : I think from a macro basis, we're definitely pretty pleased with where the regulatory capital ratios are. We did give some guidance as to where we think the CET1 number needs to get to and we're still focused on making sure from a longer-term perspective that we get to over 10% on that number.
Stephen Moss : And then in terms of the commercial real estate that repriced this quarter, just -- maybe just going back to that kind of curious what is the -- what is your view of full market rate or fair market rate for commercial real estate repricing these days?
Tom Iadanza : Yes. It's Tom, Steve. It really depends on the asset class and segment, the metrics on loan-to-value, debt service coverage and such. We have spreads in those classes as high as 400 basis points, probably as low no lower than 250 basis points. So it really depends on the asset class duration of metrics.
Ira Robbins : And I think on a macro basis, the average spread that we put was about $350 million. So we think that's probably indicative. And I think as we alluded to earlier, these were done in market terms when it comes to what the loans to value coverage should look like, the debt service coverage ratio as well as what those spreads should look like.
Stephen Moss : And maybe just kind of circling back to the de-emphasis here of the personal guarantee, was that done -- kind of just curious as to the rationalization there. Was it regulatory driven? Or is it just that you're seeing customer borrower cash flows deteriorate here? And what's the dynamic there to make that change here?
Mark Saeger : And this is Mark. We really took that option to have a conservative look at portfolio while historically the performance that we have and what we're seeing to date for loans with the guarantee versus those without is clearly stronger. We focused our risk ratings on an unadjusted primary source of repayment. And so really hyper focused on debt service coverage as being a primary driver of our ratings.
Operator: Next question is from Jon Arfstrom of RBC Capital Markets.
Jon Arfstrom : Maybe for Mark or Tom, back on Slide 15, and that upper left box, it seems like a good outcome with only $2 million modified. Curious if that outcome was surprising at all to you? And when you look at the cadence of what's coming? Do you expect similar type outcomes over the next few quarters than what you just experienced this past quarter?
Mark Saeger : I think not a surprise for us who live with the portfolio in a forward-looking way. We point to our conservative underwriting, our initial sizing of loans so that by time of maturity, we see reduced principal amount through amortization and improved NOI on the majority of asset classes outside of office and rent-stabilized multifamily. We're seeing strong metrics in retail, industrial and market rate multifamily in our primary markets. So NOI growth coupled with prudent sizing at origination on these loans. We're not so surprised by the good results that we're seeing in the refinancing side.
Ira Robbins : Maybe, John, just one thing I wanted to add to that. I think when you look at the bottom of that chart, we talked about the borrower contractual rate there. And I know that's been a big issue for many within the industry is there's been a significant increase in what that rate is for many of these borrowers as they readjust. For us, you're looking at a rate, obviously, for what's coming due in third quarter of '24 at $763 million. So there really isn't a huge adjustment for many of the borrowers. And you can see what that looks like as we continue to move forward. So I think one of the common issues for many of our peers out there as they have to reset these borrowers to higher rates and what that does to the underlying debt service coverage ratio really isn't as significant for us.
Jon Arfstrom : Maybe for Mike or Travis, maybe an obvious answer, but the higher end and the lower end of the quarterly NII growth, anything you would call out for us to think about in terms of how you get to the higher end or the lower end on that guide?
Travis Lan : Now we just know there's a diversity of opinion maybe on the outcome for interest rates, and there's only had a slight impact on our NII at the end of the day, but there is nothing material. I mean also the other factor would obviously be giving ourselves a range of growth we gave you growth guidance of low single-digits. And so that can mean a couple of different things, and that would be factored in there as well.
Jon Arfstrom: And then just last one. You guys talked earlier about the C&I growth, maybe being more lumpy or erratic. Can you talk a little bit about the pipeline there? And what -- it feels like it's going to be commercial driven loan growth in that CRE. So just help us understand what the pipeline looks like.
Tom Iadanza : Jon, it's Tom. Pipeline actually increased 30% quarter-over-quarter. And the pipeline is very stable growing. We're seeing a lot of it coming out of those relationships, specialty national businesses as well as our Florida region, steady in the Northeast, but a higher percent growth on both what we originated in the past quarter and what our pipeline is looking at going forward. So we expect to maintain the guidance of what we put out in the low single-digits for the second half of the year driven primarily by C&I.
Operator: And our next question will be coming from Jared Shaw of Barclays.
Jared Shaw: Maybe just going back to the criticized and classified, what was the -- what would the growth have been without the reclassification of personal guarantee?
Mark Saeger : Jared, this is Mark. I don't have the breakout specifically, but the majority of the migration this quarter was related to our approach on personal guarantees.
Jared Shaw: And then just sort of following up on Chris' question. Was the -- did you see -- have you seen weaker performance than expected maybe on some of the loans that have gone non-performing with personal guarantees. Was that part of the driver of that change?
Mark Saeger : No. Absolutely not. Again, this is just a conservative approach to risk rating and specific provisioning. What we've seen to date is consistent with our historic record that those loans with guarantees do have more positive outcomes, and it continues to be an important part of our credit structure and will continue to be on a go-forward basis.
Jared Shaw: And shifting to the deposits. I think Tom had said that July averages were trending higher. Is that trending higher than the average second quarter or the end of period second quarter or both maybe on the deposit side?
Travis Lan : Yes. It's relative. We made the statement relative to the average for the second quarter. And from a customer perspective, that would be for the end of period as well. So customer deposits on an average basis in July are slightly higher than the end of the quarter.
Jared Shaw: And then just finally for me, when you look at the delta and the rates that you're getting on your customer deposits versus your brokered deposits. And then I just was checking what your specials are at sort of 450. Why not pay up a little bit more on the customer side because it feels -- I don't know, it seems like you'd be able to get something still cheaper than the brokerage side. Is there a reason that you're leaning in more on the brokerage side here versus paying up a little bit more on core customer accounts?
Ira Robbins : It's obviously a conversation we have a lot internally with regard to our deposit pricing committees. I think a lot of it has to do on what potential migration looks like from a relationship client perspective. Keep in mind, many of these clients have been here for a very long time. They have sizable deposits with us. And if they see a higher rate, many of them want that higher rate as well. I think the other piece is the broker have a shorter-term duration and the ability to think about where maybe market interest rates are going and to keep short on the curve is probably a positive for us.
Operator: This concludes today's Q&A session. I will now turn it over to Ira for closing remarks. Please go ahead.
Ira Robbins : I want to thank everyone for joining us today and for the interest in Valley, and we look forward to talking to you next quarter. Thank you.
Operator: Thank you all for joining today's conference. You may now disconnect.